Operator: Welcome to the Capital One Second Quarter 2013 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the conference over to Mr. Jeff Norris, Senior Vice President of Global Finance. Sir, you may begin.
Jeff Norris: Thanks very much, Michael. Welcome, everybody, to tonight's earnings conference call. As usual, we are webcasting live over the Internet. To access the call on the Internet, please log on to Capital One's website at capitalone.com and follow the links from there. In addition to the press release and the financials, we have included a presentation that summarizes our second quarter 2013 results. With me tonight are Mr. Richard Fairbank, Capital One's Chairman and Chief Executive Officer; and Mr. Steve Crawford, Capital One's Chief Financial Officer. Rich and Steve will walk you through this presentation. To access a copy of the presentation and press release, please go to Capital One's website, click on Investors, then click on Quarterly Earnings Release. Please note that this presentation may contain forward-looking statements. Information regarding Capital One's financial performance and any forward-looking statements contained in today's discussion and the materials speak only as of the particular date or dates indicated in the materials. Capital One does not take -- undertake any obligation to update or revise any of this information, whether as a result of new information, future events or otherwise. The numerous factors could cause our actual results to differ materially from those described in forward-looking statements. For more information on these factors, please see the section titled Forward-Looking Information in the earnings press release presentation and the Risk Factor section in our annual and quarterly reports accessible at the Capital One website and filed with the SEC. And now, I'll turn the call over to Mr. Crawford. Steve?
Stephen S. Crawford: Thanks, Jeff. Let me start out on Slide 3 with a quick review of earnings for the second quarter. We had net income of $1.1 billion or $1.87 per share, which was up 4% from the first quarter. Pre-provision earnings before tax were $2.6 billion, up about 2% from the first quarter. I want to clear 3 items that are worth calling out in the quarter relative to operating trends. First, you'll see on Slide 3, provision expenses are lower by about $120 million. The change versus linked quarter is really driven by lower charge-offs. We also had nearly a $200 million allowance release in provision, which is consistent with what happened in the first quarter. Rich will spend more time on credit in his remarks. We also had a $183 million pretax charge in the quarter for Rep and Warranty. And as we disclosed last quarter, there was a -- the effects of moving Best Buy to held-for-sale, which favorably impacts pretax earnings by about $123 million. To clear a question I'm sure will be asked later, I want to talk about prior guidance. We talked in the past about pre-provision earnings of approximately $10 billion, excluding extraordinary items. We still believe we will achieve that with any reasonable margin of error. And finally, on Slide 3, I just wanted to talk for a second, consistent with feedback we've had from investors, we also have a new non-GAAP disclosure and its income absent deal adjustments. And you can see a reconciliation of that on Appendix A, but that would translate into about a $1.3 billion of net income or $2.18 per share. Turning to Slide 4, and spending a second on margins in the balance sheet, you can see total interest-earning assets were down 2% quarter-over-quarter. Total interest-bearing liabilities were down 3% quarter-over-quarter, driven by lower funding needs. The 12 basis point increase in net interest margin you see over the quarter was driven by 1 additional day from the first quarter and by the held-for-sale treatment we've discussed with respect to the Best Buy portfolio, primarily. As you've seen in our prior disclosures, our balance sheet is asset-sensitive, so the increase in rates will result in an earnings benefit, which will be realized over time. And I want to add, that's all other things being equal. Potential changes in mix, competitive dynamics in our business, credit trends and more generally macroeconomic trends will also contribute to the evolution of our net interest margin. We have expectations for a portfolio runoff, which were slightly updated from what we talked about in the first quarter. In 2013, we expect about $11.5 billion in runoff, $9.5 billion for Mortgages and $2 billion in Domestic Card, and $8 billion in 2014, with roughly $7 billion of that coming from Mortgage and $1 billion from Card. On Slide 5 -- I'm sorry, on Slide 4, let me talk about Basel I and capital. You can see that our Basel I Tier 1 common ratio is up 30 basis points in the quarter to 12.1%. Our -- our Basel I Tier 1 -- Basel III Tier 1 capital was above our 8% target. It was approximately 8.5%. If you include actually the impact of OCI, which would be about 20 basis points, it would be down to about 8.3%. We are emphatically not changing our Basel III target of 8%, but we continue to assess a regulatory interpretation of the rules that were recently released. I want to end on our plans for capital return. We have received, as you've seen, approval for a $1 billion buy back, which we plan to execute in 2013. We announced last quarter, our plan for a payout ratio in 2014 to be well-above industry averages of around 15%. And we are still consistent with those plans, of course, subject to regulatory approval. So while we have not changed our forecast for capital return for 2013 and 2014, the uncertainty for the industry's long-term capital requirements has not declined. I want to reiterate the higher payout ratio we expect for next year will be largely, if not entirely, from stock repurchases. We believe our stock is attractive, and we feel that the flexibility in repurchases is consistent with the regulatory push for higher capital. In all likelihood, the next major benchmark for us on the capital front will be CCAR 2014. It's unlikely that any of our guidance will change in advance of receiving these results in March of 2014. Let me turn it over to Rich to go through some of the businesses.
Richard D. Fairbank: Thanks, Steve, and good afternoon, everyone. I'll begin on Slide 7, with an overview of Domestic Card results in the second quarter. Ending loans were flat compared to the first quarter. Excluding the planned runoff of acquired card loans and installment loans, ending loans were up a little more than 1% in the quarter, in line with historical seasonal patterns. Ending loans declined about 13% year-over-year. Excluding the planned runoff and the movement of the Best Buy loan portfolio to held-for-sale, the year-over-year decline was about 2%. Looking below the surface, we're seeing strong loan growth and share gains in parts of the business where we're investing, particularly in the transactor segment. Underlying loan growth has been more than offset by shrinkage in the parts of the business we're avoiding, like high balance revolvers, as well as planned runoff. We are seeing -- we're beginning to see more traction in originations, and we are seeing more line increase opportunities as we implement solutions to the regulatory rules on line increases. These improvements will not move the needle on balances until sometime next year and will be muted by the continued runoff of the less resilient parts of the card portfolio. Purchase volume was up about 12% year-over-year. Excluding purchase volume on acquired card loans, purchase volume was up 9%. This growth remains above industry average and we're gaining purchase volume share. The year-over-year trends in loans and purchase volumes reflect our strategic choices, which continue to focus on generating attractive, sustainable and resilient returns. Revenue margin increased to 18.7% in the quarter with a full quarter impact of held-for-sale accounting impact. Excluding held-for-sale accounting impacts, revenue margin was 16.8%, a very healthy margin that's consistent with attractive and sustainable bottom line returns. Our card credit metrics improved in the second quarter. On a sequential quarter basis, losses improved 15 basis points to 4.3%, and delinquencies improved 32 basis points to 3.05%. We generally see some seasonal improvement this time of year, although what we saw in the second quarter was better than what we would expect based on normal seasonality, particularly in delinquency rate. Strong credit performance has been benefited by the choices we have made and our strong underwriting. We have a highly seasoned back book, a front book of high-quality origination in highly resilient segments, and a focus on attracting a more disciplined consumer who is less likely to be overstretched or over-indebted. As a result of our choices, as well as the cautious consumer and the recovering economy, the strong Domestic Card credit performance we're seeing is likely to continue. Pulling up, our Card business remains well-positioned. It's delivering strong, sustainable and resilient returns, consistent with historical levels, even with the inclusion of a lower-yielding partnerships portfolio. And it's generating capital on a strong trajectory, which strengthens our balance sheet and enables capital distribution. We expect these trends to continue as a result of the strategic choices we're making in the Domestic Card business. Moving to Slide 8, the Consumer Banking business delivered another quarter of solid results. Ending loans declined about $1.4 billion. About $1.4 billion of continuing growth in Auto loans was more than offset by about $2.8 billion of expected mortgage runoff. Ending deposit balances declined by about $2.8 billion. We have ample deposit funding in a period of relatively low overall loan growth, so we're throttling back on deposit growth. The brand conversion from ING Direct to Capital One 360 has gone very well, and we have continued to see growth in checking accounts across our digital and branch deposit franchises. Consumer Banking revenue was up modestly compared to the fourth quarter, driven by a modest increase in loan yields and stable deposit interest expense. Noninterest expense increased $20 million in the quarter, driven by operating expense related to higher Auto originations and loan volumes. Provision expense improved in the quarter, driven by the impact of home price improvements and a onetime refinement in our Retail Banking allowance processes. The overall Consumer Banking charge-off rate remains below 1%. Before leaving the Consumer Banking segment, let's pull up and discuss the Auto Finance business. We've worked hard to put our Auto Finance business in a strong position. We focused on careful and rigorous credit risk underwriting and on building deep relationships with our very best dealers. And we emerged from the recession -- as we emerged from the recession, we were able to grow and take advantage of exceptional trends in competition, pricing and credit quality. As the cycle plays out and competition continues to pick up, we expect the exceptional results of the past 2 years to moderate somewhat. We expect the pace of loan growth to decelerate as annual originations stabilize. Second quarter Auto originations were up about $200 million year-over-year, and remain in the range of about $16 billion to $17 billion on an annualized basis. We expect charge-off rates will continue to increase as the industry continues to normalize to more business-as-usual underwriting following significant tightening during the Great Recession. On a year-over-year basis, Auto Finance delinquency rate and charge-off rate both increased by about 15%, consistent with our internal expectations. As we've said before, we are now past the cyclical low point for Auto credit, and we expect some softening in historically high used car auction values, so we expect Auto Finance losses to continue to increase gradually from the historic lows of the past few years. Delinquency and charge-off rates remain low by historical standards. We expect that continuing increases in competition will drive returns downward from current levels. This expected trend of unusually strong results regressing back toward more typical levels is sort of baking in the oven, if you will, in our portfolio as each new origination vintage reflects returns that are modestly lower. Even as returns regress to more normal levels, we still see solid overall profitability and above hurdle returns in new originations. Our Consumer Banking business is delivering solid results and remains well-positioned for the future. As you can see on Slide 9, our Commercial Banking business delivered another quarter of solid growth and profitability. Loans grew 4% in the quarter and 13% year-over-year, driven by growth in CRE and middle-market C&I loans. Revenues were up about 2% from the first quarter and about 8% compared to the second quarter of last year, driven by growth in loan and deposit balances. Revenues grew despite increased competition and pressure on margins. Our loan yield was down 43 basis points from the second quarter of 2012, which is largely due to the continuing movement of our portfolio to shorter duration floating rate loans with better credit quality, as well as competitive impacts on pricing. Our charge-off rate in the quarter was 4 basis points. While the current very low charge-off levels are not necessarily sustainable, we continue to see improvements in nonperforming loans and criticized loans, so we expect the strong credit performance of our Commercial Banking business to continue. Our Commercial Banking business is in a strong position to continue to deliver growth and profitability. While increasing competition, particularly in the middle-market lending space, may continue to impact the pricing and volume of new loan originations, we expect our focus and specialized approach to Commercial Banking will continue to derive solid growth and profitability. For example, we focus on multifamily housing and have a deep expertise in New York City commercial real estate, and we've developed differentiated industry verticals in C&I lending. Across our Commercial Banking businesses, loan growth, credit and profitability trends remain healthy. I'll conclude my remarks this evening on Slide 10. Our businesses continued to deliver solid results in the quarter. We have great businesses, which generate strong revenues, and attractive and resilient risk-adjusted returns. And we remain focused on important levers that will sustain and improve profitability. On the cost front, we're on track for operating expenses of around $11 billion for 2013, and about $10.4 billion in 2014. Driving digital transformation in all of our businesses, and driving more efficient and effective procurement and third-party management provides sustainable opportunities to save operating costs. Our outlook for marketing expense in 2013 remains about $1.5 billion. As always, we will make decisions about how and when to spend marketing dollars based on rigorous NPV-based assessment of expected returns on our marketing investment and our current and expected view of opportunities in the marketplace. We are committed to tightly managing costs and operating more efficiently across our businesses. We don't view this as a one-off project. We've internalized that the industry has changed, and efficiency and cost management are very integral to how we run the business and how we create value for our shareholders. It's a focus in all of our businesses and in every budget cycle. Our credit results are strong, driven by our long-standing discipline and underwriting across our businesses and our continuing focus on resilience in the Domestic Card business in particular. Growth remains a high priority for us, but in the context of a preemptive focus on generating attractive, sustainable and resilient returns. Overall loan growth in the coming quarters is likely to be muted as planned runoff and other strategic choices we've made continue to mask stronger underlying growth in areas we've been emphasizing, including Commercial Banking, Auto Finance and selected segments of the Domestic Card business, including transactors, partnerships and revolvers other than very high balance revolvers. Finally, capital management remains an important part of how we expect to deliver superior and sustainable returns to our investors. Steve affirmed our capital return commitments for 2013 and 2014. I want to add a few points of emphasis. Our capital and liquidity positions have never been stronger. Our businesses continued to deliver attractive and sustainable returns and generate capital on a strong trajectory. We're comfortable with our strategic footprint, planned runoff, frees up capital, and our stock is at attractive current levels. All of these factors drive our planned capital distributions in 2013 and 2014. As always, there are risks that are largely outside of our control, which may impact our ability to return capital, but I want to be absolutely clear about our intent to return capital. We continue to believe that we will generate capital well in excess of our needs for growth and risk. So we continue to expect that capital generation and distribution will be important parts of how we deliver shareholder value over the next couple of years and over the longer term. Now, Steve and I will be happy to take your questions. Jeff?
Jeff Norris: Thank you, Rich. We will now start the Q&A session. [Operator Instructions] Michael, please start the Q&A session.
Operator: [Operator Instructions] We'll go first to Sanjay Sakhrani with KBW.
Sanjay Sakhrani - Keefe, Bruyette, & Woods, Inc., Research Division: I had a couple of questions. First, I know this has been a tough one to answer, but the U.S. revenue margin seems to be doing better than expected when anticipating some of the impacts you gave us previously. Outside of kind of seasoning going forward, do you feel these levels are sustainable? And then second, just the tax rate, if you could help us with what the ongoing tax rate estimate is, that'd be great.
Richard D. Fairbank: Okay. Sanjay, so let's talk a bit about the U.S. Card revenue margin. Using only held-for-investment loans as our denominator, revenue margin in the quarter was 18.7%, strikingly up from 16 -- from 17.6% in the first quarter. And the increase was driven by the incremental Best Buy held-for-sale impacts of about 65 basis points, combined with seasonal marginal -- margin increases and strong credit. And offset a bit by the franchise enhancements we talked about in the prior quarters. The second quarter had a full quarter's impact of Best Buy held-for-sale. And adjusting for that, underlying revenue margin is 16.8%. So when we look out into the future about our revenue margin, there's some puts and takes, but the -- you, of course, have seasonality and effects of purchase accounting, but kind of looking past those, let me just talk about the more fundamental puts and takes. And there's really kind of one primary one in each direction. You have the franchise enhancement activities. This is where we're making choices to -- that end up reducing revenue by changing some of our practices or activities to help enhance our franchise and customer experience. And we have kind of -- we've made some forward-looking guidance about those, and we are pretty much on track relative to those. In the -- the other direction really is the -- is having Best Buy as it moves out of our portfolio. Best Buy has a revenue margin that's lower than the portfolio average. And so these 2 factors generally kind of offset each other in the medium-term. So while there are many other factors that can drive revenue margin like industry pricing and credit performance and growth and adding partnership and things like that, the sort of, on an adjusted basis, as we've talked about this, the revenue margin that we're seeing is pretty consistent with historical ROAs and is generally, I think, from a fundamental basis, pretty sustainable.
Stephen S. Crawford: Taxes -- so in taxes, we were a little over 30% in the first quarter. The biggest factor which drove the quarter-over-quarter increase was an expectation for more income. There were some discrete items as well. And there's a catch-up adjustment that happens also to incorporate the higher expectations earnings throughout the year. So that's why the tax rate jumped up to 32% in the second quarter. And I can't go out too far, but I would say for the year, it's probably going to be between what it was for the first and second quarter.
Operator: We'll go next to Brian Foran with Autonomous.
Brian Foran - Autonomous Research LLP: I was wondering if you could, I guess, help us think about expenses a little further out, and in a recent presentation, you gave some comments around third-party expenses being high relative to peers and that needing kind of 3 to 4 years to work its way through. And also if you could put it in the context of how to think about expenses within the Card business, specifically. I mean, I just always kind of get hung up on the expenses running at around 9% to loans. And I'm sure you kind of look at it more on a revenue basis, but 9% expense to loans seems like a very high number relative to history and relative to peers still.
Richard D. Fairbank: Right. Brian, let me, in fact, take your point about the Card business. First, I -- there are a number of metrics at Capital One that, because of our business mix and the way we manage the business, that are apples and oranges relative to competitors. And certainly, the cost per balance is a classic one of those. Costs are really driven by customers and our average balance per customer tends to be lower. We have a different mix. We avoid the high balance revolvers. And so we are very focused on really driving to a more and more efficient place in the Card business. But I think that our destination -- we always look at competitors for comparison, but I think that we see real opportunities to improve efficiency. But it's driven in the context of still a very different kind of business mix, particularly as manifested by that metric. Also, if you include in an expense calculation, marketing, we've tended to avoid teasers. A lot of competitors are very heavy -- use teasers very extensively. In some ways, our marketing expense are someone else's balance transfer teasers, for example. So -- but beyond those sort of calibration points, we have great energy and passion around the expenses. And while we are driving efficiency in every single way that we manage the business, we have highlighted both third-party expenses and digital as particularly areas for opportunity. Over the years, we outsourced quite a few activities. I think, in many ways, we -- it may be that relative to a number of players, we have a higher percentage of things outsourced, I'm not totally sure of that. But we believe there is great leverage to really get best-in-class with respect to third-party expenses. And one thing that we have done is to mobilize a lot more of the third-party expense and negotiating activities to a very central -- centralized, highly talented, really experienced team. And we're already seeing in that movement, some pretty significant saving opportunities. So I think there's an opportunity, therefore, some steady increases -- improvements in expense over time. The other kind of biggest one to highlight is in the area of digital. And -- I mean, I think it's not an exaggeration to say we're living through one of the most profound changes that's happened in the history of mankind, and banking is certainly no exception. And frankly, I think banking has been quite belated relative to many other industries with respect to the digital revolution. Most of the things that we're doing to drive leadership in digital are not motivated primarily to reduce cost because I think the benefits are so great with respect to the customer experience, the ability to be fast to market, the ability to drive information-based strategies in realtime and so on. But I am certainly struck by the fact that most transactions, the significant majority of all transactions that happened outside of a digital channel in a bank, either a Card business or in a back, could be done digitally by customers. Now, in the end, they're going to make their own choices, but for us, the drive to digital is a multipronged effort to, first of all, create great digital capabilities and give our customers a customer experience that can enable them to choose digital as a primary way of banking. Secondly, if you build it, they won't necessarily come in the sense that driving customers to digital is a really key part of this thing. And thirdly, the -- digital is not just about how we interface with our customers, but in a sense, digitizing the whole company and really running the company, operating, and most importantly, take the mindset of digital. It really has tremendous leverage to it. So this is not something that's going to transform economics overnight, but I think that both third-party and expense and the digital opportunity give us something that, I think, we can drive to for multiyear opportunities to, in the end, raise our gain, and along the way, get more efficient.
Operator: We will go next to Ryan Nash with Goldman Sachs.
Ryan M. Nash - Goldman Sachs Group Inc., Research Division: Just a couple of quick questions. I guess first, Rich, can you give a little bit more clarity on your outlook for card loan growth? It seems like there's been some positive turns in the business, particularly in the transactor sector, and you mentioned the pick up in utilization in some of the parts that you're playing now. I know there's still runoff in parts of the portfolio, but what is your expectation when we actually see growth in the portfolio? And a second question, just in terms of, you said you saw seasonal improvement in credit that was better-than-expected. I know you were talking about stable credit trends year-on-year, but could we actually see credit improve year-on-year given the solid better-than-expected outlook?
Richard D. Fairbank: So, yes, Ryan, look, I think -- I'm encouraged by the things that I see beneath the surface in our Card business, in the areas where we're investing. I see a bit -- I don't want to overstate the effect, but I see more traction. I see things happen -- happening a little bit more response. I think that some of the new programs we've been putting in place are getting some nice traction. The line increase brownout that we have experienced, really, since the beginning of 2012, when the regulatory rules changed on requiring validation of income before doing a line increase, we're working our way through -- we're pretty much there with respect to having the capabilities we need to now increase credit lines and so on. I do want to say, though, that the Capital One way of doing the Card business is one where we book accounts and build balances on a gradually, kind of, increasing basis. So this is not a big change that you'll see. In fact, I said that the needle on what I just talked about will really move more next year than this year. But the other thing that makes me still cautious to point to loan growth is that when we talk about running off, the 2 things that we're essentially running down, one is the riskiest parts of the HSBC portfolio, and the least resilient parts of our own portfolio, really more focused around high-balance revolvers. That runoff is -- involves a lot of balances and that each year, we kind of start behind the starting line in generating growth. When you see the bounce in my step and the excitement about the businesses that I know those choices are going to really enhance the resilience of our business. They won't -- you won't get paid for that in the good times. You get paid for that in the bad times. But meanwhile, everywhere we're investing, I really like our chances. The other one I want to say is the other place where I think there's upside from here, but it's not upside that is like right around the corner, is in the partnership space on the organic side. In the last couple of years, really since we announced the HSBC deal, pretty much all of our energy has gone in -- with respect to that partnership business, has gone into doing the integration and re-upping with partners. I think what excites partners about Capital One is the opportunity to create innovative marketing programs and really build business over time. So in that sense, I think some opportunities have been lying fallow, if you will, and can be capitalized over time as we kind of -- in fact, really pretty much at the destination with respect to integration and partner sign-ups. So that's why I've got a bit more of a bounce in my step, but I just don't think you're going to see the metrics, really, moving for a while in any dramatic way. On the credit side, you've heard our comments over the last several years, and we've tended to be -- we never liked to book improvements that might come out in the future. It is certainly striking -- and it's extraordinary, really, what has happened over the last few years as consumers have become more and more careful. And frankly, originators like Capital One and our competitors have also, I think, been particularly conservative in their originations. I think what we're seeing is that as this plays out in our portfolio, the kind of pay off of years of conservatism by us and by the consumer is manifesting even better credit performance than we probably would have expected, maybe the flip side of why we lament about loan growth sometime, that delevering consumer. But I -- our comments that -- I mean, I'm not sure I'm ready to declare that things could get better from here. But I think the trend in credit and when we look at things like roll rates and some of the underlying -- pretty much all the metrics associated with credit continue to show 2 things: One, the payoff from the conservative approach we've taken to originations and all of our credit policy; and second, the consumer that continues to be cautious.
Operator: We'll go next to Donald Fandetti with Citi.
Donald Fandetti - Citigroup Inc, Research Division: Rich, if you look around some of the other large banks in the card issuing space, BofA has recently expressed more confidence on market share, Wells is talking about more cards and there's some other banks. I guess, we've all become a little accustomed to just thinking cards are a great business with sustainable ROAs and just want to get your sense on any risk around the competitive framework and yields as you look out the next 1 or 2 years.
Richard D. Fairbank: Well, you remind me of back in my consulting days when I showed one of my clients the sum total of the growth predictions of all the players in the industry and said, unless there's a massive revolutionary growth shock to the system, I think we're all going to be disappointed in more ways than one. A thing that I would say on a calibrated -- I mean, so your question, Donald, is a very good one. If I cross-calibrate what's happened in the Card business versus other places, I think the card -- in the businesses we operate in, I think the card industry has been the most rational relative to the Auto business and the conservative -- I mean, the Commercial business in terms of competition in the wake of the Great Recession. You see a lot of folks kind of rushing into C&I lending, you see folks kind of running into the Auto business. In the -- in the Credit Card business, supply has kind of subsided here in the last couple of years and pricing has been pretty stable. So I would say what we're talking about here is probably the most rational of the markets. That said, all the players seem to have a bit more bounce in their step. And I think that it's a good caution that we should keep an eye out for changes in supply, in pricing and other things that might happen. Notice my own proclamations here, I'm not saying anything about that you're going to see real growth out of Capital One's Card business. We still have a conservative stance. We've got a lot of things running off. I'm very focused on generating resilient returns and letting the growth that the market has to give us, come to us in the way that it will. But we're going to keep a conservative stance on that.
Operator: We'll go next to Ken Bruce with Bank of America Merrill Lynch.
Kenneth Bruce - BofA Merrill Lynch, Research Division: Rich, could you possibly dimensionalize what you're seeing in the Auto business? You had mentioned that things are, in a sense, tightening up there. And I don't know if there's a way that you can describe how the ROAs are changing in the business or how you're seeing that shift, but that would be very helpful, that's my first question.
Richard D. Fairbank: Yes, Ken, the Auto business had a confluence of things happen to it that I believe in our lifetime is, you're never going to see again, okay, and in the period after the financial crisis. You had competitors head for the hill, more exiting in that space than in the other businesses that we play in. You had -- the car companies run into huge problems that cut back their supply. And you add the consumer -- even walk away from their homes while they're making sure that -- I mean, it seems like the assets that they were most making sure they paid on was their car. And you had an extraordinary sustained increase in used car prices that meant for all of us. Every year when we did our originations and for us, of course, assuming that whatever we saw in used car prices would regress toward the mean, the fact that we find, on the recovery side, so much more value than we had estimated, you really had kind of this -- kind of the Golden Age, if you will, of the Auto business. What's happening now is that other than the fact we don't yet see evidence of used car pricing subsiding, although we would expect that as well, you see pretty much more return to normal on all the things that I just talked about. People have reentered the space -- lenders have reentered the space. It's not lost in them that there was some gold in them there hills. The car companies are getting their mojo back and stepping up volumes quite a bit. And so -- we are very, very careful to watch these markets carefully and not pursue growth objectives at the sacrifice of good credit and all of that. So where are we? This is not a red flag that I'm dropping on this business. It's really more of a return from an exceptional, once-in-a-lifetime kind of period to something more normal. So from an underwriting point of view, if you talk about -- if you look at pricing in the prime space, pricing is now at prerecession levels. It's very competitive. In subprime, it's healthy but falling and approaching the -- approaching kind of more cycle average, but still above it. The -- from a credit point of view, the LTVs are stable and healthy. FICO Scores are holding pretty firm in the industry. But there is some lengthening of terms, significant growth in the sort of 73-month and beyond kind of term period. So we'll keep an eye on that. But of the various metrics to be loosened, that one is a lot less alarming to us. So what we see, Ken, is a business that at the margin, if I described it, I think, 'at the margin,' the originations we're doing now in prime are kind of pretty much typical for what you'd see through this cycle probably. In subprime, they're a bit above but they're clearly well-above hurdle but not at the exceptional levels that we saw in the past. And so there's still a comfortable margin in our originations relative to our cost of capital. And we are comfortable with the underwriting that we are doing. And so that's why at the pretty high level of originations we've been operating at, we hope to continue at levels pretty consistent with that. But the main thing that we wanted to do was flag that -- while at times, I will raise issues and say, "watch out for these various concerns out there." These changes in the Auto business are -- it's absolute portfolio math as these new originations replace the old. So we still love the business and we're going to be very passionate in our pursuit of it. But there's going to be a little less gold in them there hills going forward.
Kenneth Bruce - BofA Merrill Lynch, Research Division: I understand. And then as maybe an analogous event, in terms of what may happen, getting back to Don's question about competition, do you see that possibly that could happen within the U.S. Card business? Just this is obviously a point in time where the returns in the U.S. Card business are extremely high and, clearly, everybody's focused on it. I'm wondering if you are seeing any evidence of a shift, whether it be in the pricing or the underwriting that would suggest that we're maybe on the early stages of seeing something similar in U.S. Card.
Richard D. Fairbank: I think there's a real difference between the kind of exceptional -- the high returns in the Card business and the high returns in the Auto business. In the Auto business, when there's a gold rush like we've had in the past number of years, pretty much anybody out there can go out, partake in that and almost anybody could've made a lot of money doing that business. And you just need the right price for the right dealer at the right time. And you're pretty good to go. What makes the Card business exceptionally profitable on a sustainable basis is the nature of -- in an incredibly sophisticated business, the nature of these relationships that are not just some one-off origination, these are customers that you manage over time, and the industry is down to a handful of players who are deeply experienced in the business. Every one of those players just went through the Great Recession. Several of them lost billions of dollars in the business. Everybody, I think, saw the -- what happens to parts of their business when the stuff that they chased too aggressively. Ken, I'm more hopeful that the -- I think the Auto business -- the other thing is that the Auto business, I think, has gotten to a place where the cost to acquire is really pretty high. And so certainly, what we're doing is focusing mostly on profitability and taking what the market will give us. But I think the real difference versus what I've seen in Auto and especially what I see in the C&I business of people sort of rushing into these spaces because they don't really have a lot of other places to go.
Operator: We'll take our next question from Moshe Orenbuch with Crédit Suisse.
Moshe Orenbuch - Crédit Suisse AG, Research Division: So Rich, you talked about $1.5 billion in marketing this year and you talked about having effective marketing use of that money to generate growth in some of the areas. As you kind of look at that and we think into 2014, are those opportunities getting better or worse? I mean, do you think that you're going to go for more growth in 2014 in those areas than you're seeing now or dial back in them in the Card business?
Richard D. Fairbank: Moshe, I think that we see, at the margin, a bit of increase in opportunities. I'm not sure that's really going to translate into an increase in marketing, because I think it may be that the things we've been investing in we see some pretty good results from and we would continue doing that. When -- so I believe that we already have good success in our business when you look past the things that we're running off. That's the result of many things, including our investment in marketing. I think we see continued success and you should probably expect continued investment in marketing. When people talk about growth, of course, growth is really driven by originations, account management and choices to runoff things. And so we've had a bit of this paradox that we're investing quite a bit in marketing at the same time that we're going sideways with respect to the portfolio. But again, we look at it down at the next level and really look at what is that marketing actually generating us. So I think more, we just see a validation of the success of our marketing but I'm not -- we're not really here to suggest any significant changes in that.
Moshe Orenbuch - Crédit Suisse AG, Research Division: As a follow-up, you identified the earnings contribution from the Best Buy portfolio. If you annualize that and kind of assume you buy back $1 billion worth of stock gets you about 2.5% of the shares, I mean, you annualize the Best Buy contributions $0.50 to $0.55 and 2.5% of the shares kind of benefits you by -- in the neighborhood of $0.15. Is that math about right, that cost about $0.40 a share?
Stephen S. Crawford: Yes, I'm not sure. Can you go through that again, please? As we've got -- we're going do the $1 billion repurchase, right? But that's all going to be back-end loaded in 2013. So you won't have -- you won't have the full impact of that until next year.
Moshe Orenbuch - Crédit Suisse AG, Research Division: Right, right, I'm just thinking about it kind of both of them on a run rate basis, but you had kind of identified an impact of 120 some odd million dollars pretax positive from Best Buy. If you kind of annualize that, it's in the neighborhood $500 million or after-tax somewhere in the neighborhood of $0.50, $0.55, then kind of benefit from the other side of that from share repurchase.
Stephen S. Crawford: Moshe, I mean, that's actually one quarter of held-for-sale. Last quarter, we actually gave a schedule, quarter-by-quarter, of what happens with respect to Best Buy. And you really, for the run rate impact of Best Buy, need to look at the fourth quarter and even that, we suggested, wasn't going to be necessarily the final picture. Because we're still at work on the cost side. So this quarter, in terms of the impact, isn't really a good way to think about Best Buy on an annualized basis.
Operator: We'll go next to David Hochstim with Buckingham Research.
David S. Hochstim - The Buckingham Research Group Incorporated: I'm wondering, could you just clarify for us how much of the sort of $73 million sequential reduction in reserves for estimated uncollectible finance charges and fees would have helped the margin, net interest income and how much would have been in fees?
Stephen S. Crawford: We couldn't hear you. Could you ask that question again?
David S. Hochstim - The Buckingham Research Group Incorporated: Yes, sure. I just wonder if you could give us the breakdown of the sequential decline in the uncollectible finance charges and fees? It was about $73 million lower in Q2. And I guess also I was curious about seasonality, because it's down a lot more from a year ago in the second quarter, it's been moving around as credit qualities improved.
Stephen S. Crawford: , Wasn't the second quarter last year when we had the one-time increase in the finance charge and fee reserve from the acquisition of HSBC?
Richard D. Fairbank: That's correct. Right, right.
Stephen S. Crawford: So the decline is more the absence of that one-time effect.
David S. Hochstim - The Buckingham Research Group Incorporated: Okay. But sequentially, so from Q1 to Q2, it was about $73 million. Could you give us a sense of how much of that's in net interest income and how much is in noninterest income?
Richard D. Fairbank: No, we don't really break that out between noninterest income and net interest income, David, it's the sum of both. We don't have a quantification.
David S. Hochstim - The Buckingham Research Group Incorporated: So I guess it's back to kind of trying to normalize the margin, if that's going to move around and that's even been kind of a benefit you have this quarter, which we expect that to be.
Stephen S. Crawford: Well, part of that is actually an impact of credit and part of it is just lower fees. So it's consistent with what you heard from Rich on the credit side. We're not anticipating huge improvements from here on out. So I think you'll probably see more of our stability on the item going forward.
Operator: And we'll take our final question from a Bill Carcache with Nomura.
Bill Carcache - Nomura Securities Co. Ltd., Research Division: Rich, I was hoping you could give us your current thoughts on where you see the rewards environment currently. And in particular, whether you're seeing any signs of industry rewards being scaled back a little bit given the focus on controlling expenses. And for Capital One specifically, what's been happening directionally with your rewards ratio?
Richard D. Fairbank: Bill, we have -- ours is more of a stable story in our case. We've been investing in this business for years. Our value proposition is pretty attractive for consumers and one of the key characteristics of what we offer is what you see is more what you get, there's not lots of fine print and complexity in terms of, ultimately, how much the customer gets. We're finding pretty high levels of redemption, which is consistent with customers really getting what they thought they would get. So we've been investing in this for years. We like what we see. And so for us, it's a very stable kind of story from here. I'm not seeing really much change from competitors on this dimension either. I mean, I think, frankly, it's a very competitive space and if people are looking for cost saves, I don't see our competitors really finding them in the reward space.
Bill Carcache - Nomura Securities Co. Ltd., Research Division: Okay. And then finally, could you talk about -- in just looking at the reported 19% year-over-year increase in net interchange fee revenues this quarter, and then comparing that to the purchase volume growth, which for your Card business was up about 12% over the same period, I know there were some U.S. Card acquisition, there was an impact that, that had. But I guess I was just hoping you can maybe help us understand what the difference is between the growth rates and your net interchange fee revenues and your purchase volume growth, and that's it.
Richard D. Fairbank: Okay. Thanks, Bill. So the purchase volume grew, I think, 13% year-over-year or around 9% when you exclude the HSBC portfolio. And one thing that -- it always gets a little complicated on our net interchange disclosure, that represents all of our Card business, including International Credit Card and our Bank Debit business and the impacts of some partnership payments. So those payments, which are related to purchase activity. So if we separate out partner payments and focus on the trends in our domestic, general purpose credit card portfolio, our purchase volume growth has been higher, generally, over the last few years, higher than our net interchange revenue growth because we have been growing in the attractive products. We've been marketing, as you've seen them on TV and elsewhere. And the percentage of purchases in our card portfolio, driven by people with rewards cards as opposed to without rewards card, that has been a sustained mix change over time. That will continue over the course of the next year or so. We actually got to the -- these things bounce around a little bit, and we got -- in this particular quarter, when things net out, you actually had the interchange growth kind of on a net adjusted basis beyond the things I talked about, grow pretty much at the same level as purchase volume growth. But I think, over time, you will see some -- still some lagging of the interchange growth rate relative to the purchase volume growth rate only because we continue to migrate more of our portfolio to rewards, and so -- I mean, its the byproduct of actually a movement to bringing better products and experiences to our customers. Where we get rewarded with that over time, no pun intended, is with better customer experience, lower attrition and the more sustainable franchise metrics that are really what this journey is about. So -- but what I'm happy about is for some years, actually, the interchange was lagging the purchase volume growth by a lot and now the race has become much closer.
Jeff Norris: Okay. Thanks, Michael. Thank you, everybody, for joining us on the conference call today. And thank you for your interest in Capital One. Remember, Investor Relations team will be here this evening to answer any further questions you may have. Thanks and have a great evening.
Operator: Ladies and gentlemen, that does concludes today's conference. We thank you for your participation.